Maggie O'Donnell: Good afternoon, everyone, and thanks for joining Adyen's Q3 2025 Business Update Call. My name is Maggie O'Donnell, and I'm part of the Investor Relations team, and I'm happy to be joined today by Ethan, our CFO. In today's call, we'll discuss Adyen's financial and business updates from the quarter, followed by a Q&A segment. [Operator Instructions] With that, let's get started. Ethan, what were your key takeaways from this quarter?
Ethan Tandowsky: Sure. Thanks, Maggie. In the third quarter, we delivered strong revenue growth of 23% year-over-year on a constant currency basis. We're continuing to see diversified growth across pillars as we expand share of wallet with our existing base. This quarter was especially characterized by consistent growth across regions and was also supported by the timing of settlements during the quarter as compared to last year. This quarter, our team grew by 86 FTEs, primarily in commercial roles in North America and in tech roles across our tech hubs. Overall, it was a strong quarter, in line with our expectations.
Maggie O'Donnell: Great. Thanks, Ethan. Can you also just give us an update on the performance across pillars?
Ethan Tandowsky: Yes, happy to. I'll start with Digital. Digital net revenue was up 10% year-over-year, driven by continued momentum in the content and subscriptions and delivery and mobility verticals. We continue to see a headwind from APAC headquartered merchants focused on online retail, but noted a slight improvement throughout the quarter. As we turn to Unified Commerce, we see that net revenue for the pillar was up 32% year-over-year. This is driven by strength across retail and successful execution of our strategy to expand share of wallet across channels. And finally, platforms. Net revenue was up 50% year-over-year, reflecting continued momentum in the SaaS segment. As we've mentioned before, our relationship with platforms typically starts with embedding payments, and we now have 31 of our platforms processing over EUR 1 billion annually with us. Amongst our platforms, the number of underlying business customers reached 212,000, up from 126,000 this time last year. This growing number of business customers, we see as an important indicator of our momentum towards the next phase of our growth. In short, Q3 was a quarter of solid broad-based growth across each of the 3 pillars.
Maggie O'Donnell: Great. Thanks for the summary. Now let's talk about the outlook for the rest of this year. Is there anything in particular you'd want to highlight?
Ethan Tandowsky: Yes. So similarly to what we shared in August, we continue to expect full year net revenue growth to be similar to H1 on a constant currency basis. Furthermore, we also continue to expect EBITDA margin expansion for the year. As we get closer to the end of the period covered by our financial objectives, we're also refining our net revenue expectations. We expect annual net revenue growth to be between the low 20s and mid-20s in 2026.
Maggie O'Donnell: Great. Thanks. Before we go to Q&A, I'm sure most investors are wondering what we're planning to share at the Investor Day on November 11. Can you give a sense of the agenda for the day and what they can expect?
Ethan Tandowsky: Yes, of course. First off, I'd say we're very much looking forward to hosting you all at our upcoming Investor Day, which will take place here in Amsterdam on November 11. Typically, we host these days every couple of years to talk about our long-term strategy and how we plan to execute it to capture the market opportunity in front of us. You can expect us to talk about our core strengths and how we leverage them to set us apart in our space. Ultimately, how we see our long-term opportunity. This includes how we think about our tech infrastructure, innovation and topics such as Agentic commerce. Of course, we'll also connect that back to our business model by giving a sense of how we view the opportunity ahead. We're looking forward to a great event, and I'm personally really excited to see you all.
Maggie O'Donnell: Great. Thank you, Ethan. For those interested in attending the Investor Day in person, formal registration has closed, but we do have a few spots left. So please reach out to Isaac and me at ir@adyen.com if you're interested in attending. We also will be live streaming the full event on our website at investors.adyen.com. We'll now transition to the Q&A segment of today's call. We'll get to as many questions as we can with the time remaining. Following the call, the IR team will, of course, be available to respond to any outstanding questions.
Maggie O'Donnell: All right. Let's take a look at the questions we've received so far. Our first question comes from Fred Boulan at Bank of America.
Frederic Boulan: Hope you can hear me well.
Maggie O'Donnell: Yes, we can hear you great.
Frederic Boulan: If you can discuss maybe any specific factors that have driven the underlying revenue acceleration we've seen in Q3 versus Q2? Anything in particular you want to call out for the rest of the year beyond the kind of unwind of the settlement days? And then maybe as a follow-up on that, looking at 2026 and the new guide that you've provided, should we assume a base case is now for a bit of an acceleration, if I look at the midpoint of the guide or it's a bit early to talk about that?
Ethan Tandowsky: Yes, sure. So first, if I talk through our growth in Q3, I think what is strong here is that our growth was really driven across quite a diversified set of customers, right? You see strength in each of the 3 pillars this quarter. What we've also seen is quite consistent growth across the regions. And so I think we're seeing strength in being able to expand our relationship with our existing customers across a really well-diversified set of our customer base. The other thing, of course, that you touched on is that we had some benefit from settlement days in this quarter. That was about 1% support to our growth in the third quarter, and we expect to have a similar sized headwind in Q4 given the timing of settlement days next quarter. In terms of our guidance for next year, we set that guidance back in November 2023. And we've been quite open in sharing how we look and get insights into our revenues, that's around a 6- to 12-month type of view that we get around our revenue growth. That's because we're in constant conversations with our customers, and that's typically how they think about their own planning, their own road maps, their own priorities. And as we start to get more and more visibility into what next year looks like, we wanted to refine our view and share that information with you all. We don't still have complete and total visibility on those expectations. So we're still working through that over the coming months. And as we get more and more visibility, we'll give that view, but we're confident that we can deliver within the range that we've shared today.
Maggie O'Donnell: The next question comes from Hannes Leitner from Jefferies.
Hannes Leitner: I have also a question on -- you mentioned that Digital saw some attrition towards Unified Commerce pillar. Maybe you can elaborate on that? And then within Unified Commerce, you talked about luxury segment outgrowing the group performance in H1. Maybe you can talk about that trend, how that continued and how long you think that will continue to grow?
Ethan Tandowsky: Yes, sure. So I would much more call it expansion than attrition. I think our strategy is about how do we grow -- land our customers and then expand with them. That can be across regions, that can be across sales channels like in this case, that can even be around expanding to more brands. It really depends on the business. In this case, this is about adding an in-person payment sales channel to existing e-commerce businesses. And that's a move that is -- that we see basically quarter after quarter as it is part of our strategy and part of how we can help our customers to solve for complexity. We called it out this quarter because we saw a more visible move in our Digital volumes to Unified Commerce. But this is just playing out our strategy as we always have. On your second question around Unified Commerce and how luxury is growing. I gave that example back in August because I wanted to share that the growth of our existing customer base is split between growth in share of wallet and their own growth. And at that time, luxury was quite publicly not seeing strong market volume growth, but it was still for us an industry or vertical that was growing faster on our platform than the overall platform was growing, and that was due to share of wallet gains. So we continue to see strength in that vertical. But it wasn't to explain all of our growth in Unified Commerce. I think what we've seen over past years is that we've actually really diversified across many more verticals. We call out entertainment, we call out hospitality. So while we are seeing strength in retail, we're also seeing our customer base get much more diversified. And I think that's the story of how we're growing so far this year.
Maggie O'Donnell: The next question comes from Justin Forsythe at UBS.
Justin Forsythe: Just one question here. So I wanted to come back on the largest cohort comments for 2025, new merchant cohort that is that you made at the 1H. Maybe you can just confirm whether that's still in play based on the last 3 months progression? And also talk a little bit about where you're having success. I know you just mentioned and why. I assume, again, within that comment as well, you wouldn't be counting then any existing partners like LVMH or Shopify or Toast within that, so therefore, aren't part of the 2025 cohort. And could we potentially be, given how strong this cohort is performing at a high single-digit contribution versus the building block suggested contribution of mid-single digits? And is there anything that's providing incremental opportunity, say, like the Worldpay Global Payments pending merger or any other broader macro shifts in the payments universe?
Ethan Tandowsky: Thanks, Justin. So indeed, the comment that we shared is if you look at the 2025 cohort and compared it to the 2024 cohort that this cohort was growing faster than the overall platform was growing. We continue to see that through the third quarter. These are indeed all new customers. So these are customers who we are working with for the first time that are included there. Otherwise, it would indeed be expansion with our existing base. In terms of how it's shifted, I think maybe the only thing that I would call out is that if you look over the past couple of years, we've seen our pipeline move more to platforms than it was previously. So a bigger proportion of the pipeline is now coming from platforms than in previous years. Other than that, it's the same things that are differentiating ourselves -- that have been differentiating ourselves over the past years. It's how do we drive the best payments performance, right? Uplift is a big part of that story, a combination of auth rates and fraud and authentication and payments costs. It's, again, the platforms play. It's connecting sales channels across online and in-store. So it's very much iterations on top of the differentiation that we've been driving over past years. And that's the story of what we're seeing today. I think your question around what to expect for the building blocks going forward, I think it very much has -- it should have a similar impact in the next year. I think still mid-single digits is the right way to think about it. But of course, we see pretty consistent ramping from year 1 to year 2. So if this is a faster-growing cohort, it should have some larger impact in 2026, but the biggest part of our growth next year will come from our existing base still.
Maggie O'Donnell: The next question comes from Mohammed Moawalla from Goldman Sachs. Sorry, that's my mistake. The next question comes from Adam Wood at Morgan Stanley.
Adam Wood: Maybe first of all, just to come back on the 2026 outlook. I guess if we look at the run rate today, you've got some exceptional headwinds in the business, the large merchant, the Chinese merchants and eBay. And I think you'd probably be a good few points ahead of what you've reported if we were to ex those out. Is that a big part of why you'd still see mid-20s as a realistic outcome for next year? And are there any other things you'd highlight to give us comfort that, that's still a realistic scenario? And then maybe just secondly, as we look at the guide or the implied guidance for the fourth quarter, it does imply some decel. Obviously, the settlement headwind is part of that. Is there a desire to flag that there'll be deceleration in the fourth quarter? Or is it just a feeling that your guidance is specific enough already and there's no kind of clear signaling implied in that?
Ethan Tandowsky: So yes, thinking about 2026, first and foremost, I think it is easy to isolate and pick out one customer or another. When we've shared this guidance, it's been a reflection of the broad customer base that we have, right? So when we take our current information about how we expect to grow with all of our customers across the platform, across all of our pillars, across all of our regions, again, a much more diversified base as we go year-by-year. This guidance range is a reflection of how we expect to grow with the width of them. And so of course, you can pick out and isolate specific topics. But for us, it's really about the overall growth of our customer base on the platform. And when we're in discussions with them and when we're trying to understand the opportunity size that we have going into next year, the visibility that we start to get puts us in the range that we shared today. In terms of what we're sharing for Q4, I think the main thing that we are sharing which is different between Q3 and Q4 is the impact of settlement days. Again, that was a 1% support to our growth this quarter, and we think that's a 1% or so headwind to our growth next quarter. We wanted to be sure that, that was understood. On an annual basis, this has very little impact. But given where we are quarter-by-quarter, we wanted to share that. And that's ultimately what we're sharing for our guidance through the rest of the year.
Maggie O'Donnell: The next question comes from Adam Frisch at Evercore.
Adam Frisch: On the continued execution. I wanted to ask specifically about -- there are aspects to your growth algorithm that are specific to Adyen, obviously, the growth with your existing base and so forth. But I also wanted to ask you to specifically call out anything you're seeing in markets in Europe being particularly weaker, stronger, any view on the consumer? There's been a lot of mixed data points around there and the fact that you guys are growing so well, maybe you have a different view. So if you could just separate the Adyen-specific stuff from what you're seeing in the overall market would be very helpful.
Ethan Tandowsky: Yes. Thanks, Adam. I think the challenge is that they are mixed in our view of growth, right? So our growth with our existing customers is that combination of how fast they are growing with how fast we are gaining proportion of their share, what we call share of wallet. We haven't flagged anything specific that we've been seeing related to changes in behavior here. So I don't really have additional insights to share.
Maggie O'Donnell: The next question comes from Jason Kupferberg from Wells Fargo.
Jason Kupferberg: I just wanted to circle back on one of the prior questions about Q4, make sure we have the numbers right here. So we did 23% in Q3, would have been 22% without the settlement tailwind. And then I think the implied growth for Q4, if the second half is going to be the same as the first half is 19%, which would be 20% if you add back the benefit of settlement. So it does seem if our numbers are right, like there's a little bit of a modest slowdown embedded in there. So I don't know if this is more just rounding, but I just want to make sure we're synced up properly for Q4. Are you putting some cushion in there for macro or tariffs or any other items?
Ethan Tandowsky: Yes. So I think what we've tried to share is a view on the year, right? And of course, we're getting now closer to the end of the year. So that time frame gets shorter and shorter, but we've never been trying to guide to every specific quarter. It is our expectation that Q4 will not be at the same growth rate as Q3 given that settlement day impact. Q4 was also a very strong quarter for us last year. So the comparables are strong that we're comparing ourselves to. We still think that we're in a strong position to grow, but these are the factors ultimately in play, which lead us to continue with the expectation we shared back in August, which is that our growth for the full year should be broadly in line with the H1 constant currency growth.
Maggie O'Donnell: The next question comes from Darrin Peller at Wolfe.
Darrin Peller: Just 2-part question. One is first on Agentic. I know we'll get a lot more at the Investor Day, which we're looking forward to. But maybe any quick preview on some of the initial ideas or plans or partnerships you see already and what your opinion is in terms of momentum on it in the next, let's call it, 2 to 3 quarters from Adyen's perspective? And then the second part would be around hiring. I just -- we keep seeing -- we continue to see the healthy pace of hiring. Ethan, is this the run rate that we should expect sort of normalize for the company going forward in terms of, call it, the annualized rate we're seeing this quarter? How do you want us to think about that?
Ethan Tandowsky: Yes, sure. I think first on Agentic commerce, we're really excited about the potential to help customers meet their own customers where they want to engage in commerce. And this is certainly an area that we think over time will develop and be an important piece for our customer base. At the moment, what we're doing is we're working with other industry leaders, think about a Google or an OpenAI or Visa or Mastercard, working together to make sure that we develop standards, which will truly work for merchants that will support them in their growth and their relationship with their own customer base. So we're absolutely engaged and actively working together with others in this space to make sure that we deliver a really unique and differentiated solution for our customer base. Again, here, a lot of the challenges that we're really already strong at, things like authentication, things like managing fraud, things like multiple payment methods. Those are things that we are -- that are core strengths of ours and that we think we can apply in this realm as well. Of course, you mentioned it. We will share more at our Investor Day, but I think that's how I'd summarize our position today. In terms of hiring, yes, we did 86 net new FTEs this quarter. I think the last 2 quarters, we did about 110 each. That type of level is something that we would expect to continue. I have no reason to think that we need to scale that significantly up or significantly down over the next coming while. So as of now, that's our plan. And if that would change, I would, of course, let you know, but that's our expectation going forward.
Maggie O'Donnell: The next question comes from Harshita Rawat at Bernstein.
Harshita Rawat: I want to ask about Uplift, and I appreciate you're going to discuss it in more detail at the Investor Day. So you've enabled it for all of your customers. What's the uptake been? I know you talked a little bit about it last quarter, the conversion boost you're seeing? And also, how should we think about wallet share gains as it relates to Uplift, especially as we look into next year?
Ethan Tandowsky: Yes. So Uplift is a really important way that we package our differentiation to our customers. It continues to be that. So the same updates we gave in H1 hold true through Q3. For instance, when we look at our new customers that we onboard, we still see around 2/3 of them or so using Protect from day 1, so our fraud tooling. But ultimately, this combination of solving for authorization of solving for lowering payments costs, solving for better authentication flows and reduction of fraud, those can be applied no matter the priorities of customers, right? If they want to focus fully on how do they drive revenue Uplift or if they want to manage payments costs more carefully, those are optimizations that they can control and tweaks that they can make. And Uplift really helps make -- helps them quantify the impacts and make it easier for them to ultimately take up these products. And so it's a really important part of our commercial conversations and how we help bring more share of wallet to the platform. It continues to progress well in Q3, similar to what we shared in H1.
Maggie O'Donnell: The next question comes from Alex Faure for at Exane BNP Paribas. Alex, can you hear us?
Alexandre Faure: Can you hear me now?
Maggie O'Donnell: Yes, we can.
Alexandre Faure: A couple of questions maybe. As we go into the CMD, I just wanted to sort of look back to what you guided to in November 2023 and sort of this acceleration in the high 20s you're expecting for 2026 and you're now guiding more to, I don't know, low to mid-20s. So I know you called out some tariff impact, obviously, but you also helped us size that impact. So it doesn't quite take us to high 20s. So what do you think didn't go according to plan to get to high 20s in 2026 eventually? So that would be my first question. Second question is going back to the Agent commerce discussion, I heard what you say in sort of engaging with other industry leaders in OpenAI and Google and so on. When you look at all the different protocols and frameworks that have been issued so far this year, and you think of the work it requires on Adyen side to integrate with some of those, does it sound like a significant work? Is it a matter of weeks, a matter of months, a matter of quarters? How should we think about that?
Ethan Tandowsky: Yes, sure. So I think if you think back to November 2023, as you mentioned, right, we were giving a 3-year view. Now we wanted to share a wider range at that time, given that we were giving a longer time frame, right? So we were talking about that 3-year view. And a lot of things happen over multiple years to understand what your growth looks like in any given year, right? Even the priorities of your own customers, what is in play in 1 year may look different than what's in play in the next year. And that's just based on their road maps, their own prioritization. We're always looking to help our customers where they have the pain points where they are focused, and that can look different in any given year. So I wouldn't necessarily frame it in the sense of like, hey, what went wrong or what went differently, mostly frame it in, we get closer towards this 2026 year, towards the end of this kind of guidance time frame, and that gives us more visibility and that more visibility is what we are trying to share here by refining the financial objective. To your second question on Agentic commerce, it is not real significant work for us to implement. And I think that's the benefit of building everything on our single platform and taking that end-to-end ownership. We have so many of the building blocks which are going to be required in this new Agentic world, and that positions us really well to be able to move quickly. So I think in large part, we have a lot of the building blocks, which will be at play here. It's much more about figuring out the solution, which truly will help merchants and allow them to give -- have the right experience and the consumers to have the right experience. Of course, there's going to be some work that goes into it, but that's not the biggest piece. I think we largely have the building blocks in play, which is a great position to be in.
Maggie O'Donnell: Great. The next question comes from Pavan Daswani from Citi.
Pavan Daswani: Can you hear me?
Maggie O'Donnell: Yes, we can hear you.
Pavan Daswani: So my question would be on the de minimis tariff impact and the previously guided 2 percentage point drag in H2. Could you maybe give us an update of how did that trend in Q3 for the online APAC headquarter merchants? And was there any incremental disruption in late August with the de minimis expansion?
Ethan Tandowsky: Yes. For the subset of customers that we talked about in the first half, we saw a slight improvement during the quarter. Also keep in mind that in the first half, this was largely an impact that we saw at the end of that first half. So we did see some slight improvement throughout the quarter, but nothing that really meaningfully changed our results that's worth commenting on. In terms of other impacted merchants also beyond it, we haven't seen material or meaningful movements related to this throughout the course of the third quarter.
Maggie O'Donnell: The next question comes from Sven Merkt at Barclays.
Sven Merkt: Can you give us maybe a bit more detail on the point of sales volumes growth? It slowed sequentially in both Unified Commerce and Platforms. Can you just comment what is the driver here, especially as you called out that there's been an increased migration from Digital to Unified Commerce?
Ethan Tandowsky: Yes, there's nothing specific that I would call out related to this. I think in any given period, right, it is a short-term period. You do see different volumes moving between pillars, but also between the sales channel, also between regions, right? So I wouldn't focus too much on a single quarter results. I think in general, what we've seen is strong growth across each of our pillars, across each of our regions. It is quite a diversified mix, which is driving the growth that we see in the third quarter. And for me, that's the strength of the position that we're in.
Maggie O'Donnell: The next question comes from Sandeep Deshpande from JPMorgan.
Sandeep Deshpande: I have 2 quick questions on your revenue line. I mean you've got some new initiatives like issuing as well as lending, et cetera. Where are we at this point? Has anything changed in the third quarter in terms of progress on these pillars, these next-generation pillars that you are working on? And then secondly, looking into '26, I mean, in the past, Adyen would announce some big new customers and they would have a significant impact on your sales growth in future years. With your TPV now so much bigger than it was in the past, are there any customers that are targeted and can make a big difference to Adyen in '26 or beyond? Or are we now at the point that most of your growth -- more and more of your growth is going to come from existing footprint gains at existing customers. But clearly, this is something that you will probably talk at the Capital Markets Day, but is that way we are going towards as such?
Ethan Tandowsky: Yes. So let's start with embedded financial products. Of course, it's a topic we will cover in more detail at Investor Day. But in relation to Q3, I think we still see strong traction in issuing. That's one that we talked about also in H1. And I think in general, the way to think about EFP is that it's a really important piece of the products we deliver, especially to our platform customers. And it's a big reason why we're able to grow the platforms pillar in the way that we have been at the 50% or so level that we saw in Q3 as well. In terms of if there are still big customers to win, which ultimately will drive our growth, I think there's a couple of points I'd make. One is I've said it a few times on the call, but we are getting more and more diversified. So there are more and more customers on the platform, which are helping to drive our growth. I don't look at it necessarily on an individual customer by individual customer basis. If you again compare it or take a look at the 2025 cohort we're seeing on the new sales side. So again, completely new businesses to the Adyen platform, we're seeing that scale up quite nicely. So there still is a lot of potential for us to add new business to the new customers to our platform. And we're very much focused on still driving that because while it has little impact in any given year you add them, it does drive your growth over future years, and it's very much also a signal to our positioning in the market, the strength of the differentiation we have. And so it's, of course, something we spend a lot of time on and that we see strength in today.
Maggie O'Donnell: The next question comes from Sanjay Sakhrani from KBW.
Sanjay Sakhrani: Kind of I wanted to ask the 2026 question a little bit differently. I guess when we think about that range that you guys have provided, how have you built that range up? And then when we think about some of the variables that could land you within that range, bottom or lower, like what are they? Because as discussed earlier, you've had some puts and takes over the guidance period that you provided before.
Ethan Tandowsky: Yes. So the biggest driver of our growth for 2026 is going to be the existing customer base. And the 2 biggest factors are how fast they grow and how much share of wallet we gain in that year. Now we're starting to get some better insight into the specific opportunities that we see with our customer base for 2026 as they go through their own planning process, their own prioritization exercise, and they talk through what types of opportunities they'll be focused on. We also start to get better insights into how they think about their own growth for next year as well. But ultimately, those are going to be the 2 biggest factors that will drive our growth. And while we're not at the point that we have full visibility with them because we're still going through that exercise, we did feel like it was helpful to refine again the range at which we see 2026 playing out. And I think if you look at that range, you see that we'll be in a position to gain significant market share also through the course of next year. We're well positioned to be able to gain much more share of wallet with our customer base. And I think that ultimately is the strength of the differentiation that we have and that we're bringing to market.
Maggie O'Donnell: The next question comes from Bryan Bergin at TD Cowen.
Bryan Bergin: A bit of a follow-up there on wallet share. So just can you share updated views on your wallet share penetration across certain client cohorts that you've talked about in the past? The runway for further penetration in that wallet share? And does macro volatility enable situations where you can actually pursue and win greater wallet share in certain types of clients?
Ethan Tandowsky: Yes. So of course, this is part of what we addressed at the Investor Day a couple of years ago, thinking about where we are per pillar by wallet share. I think the reality is that we're still very much in the same position that we still have most of the wallet share still to win with our existing base. Now that's not true for every customer. There are customers we do 100% or the vast majority of payments for them. But if you look at our platform overall, especially because we've been continuously adding new customers to the platform over past years, we're still in the position where the majority of volumes within our customer base is to win, and that's what we're very much focused on.
Maggie O'Donnell: The next question comes from Fahed Kunwar at Redburn.
Fahed Kunwar: Just a quick question on Digital, specifically. I thought the acceleration or the inflection in Digital is quite interesting. We've had a couple of quarters where you've disclosed net revenues where it's been decelerating. I appreciate there's been some noise, but it does feel like we had kind of that 7% core number last quarter, probably 9%, 10% ex de minimis and leap year and -- FX, sorry. We probably jumped up to kind of 12%, 13% now. Could I understand -- and that 12%, 13% is with volume boom in Digital to Unified Commerce, so really, really strong performance. Could I understand what's been happening in Digital? Like why has it inflected as much as it has? And going forward, can we expect further acceleration in Digital revenues? Because my understanding is Unified Commerce and Platforms is probably where the juice is coming from, but any color on that would be great.
Ethan Tandowsky: Yes. I would just say that we remain really, really focused on winning in Digital. It's the biggest part of our volumes. It's the biggest part of our customer base. A lot of the products that we've been rolling out have a huge impact on Digital customers, right? Think about the Uplift suite, this combination of authorization and payments costs and fraud, that's really, really prevalent in the Digital pillar. And I think our global capabilities, our abilities to work with the largest enterprise and really optimize for their payments needs is the thing that's been really important to differentiating ourselves. Now that's always been the case, but rolling out products like Uplift help us ensure that we continue to stay differentiated that we can continue to help our customer base, and that's ultimately where you see us continuing to gain share.
Maggie O'Donnell: Thanks for your question. The last question -- I guess that is the last question. Thank you guys so much for joining us today. We appreciate you taking the time. For any further questions, please don't hesitate to reach out to the IR team. Have a great day.
Ethan Tandowsky: Thanks, everyone.